Operator: Thank you for standing by. This is the conference operator. Welcome to the Brookfield Renewable Energy Partners 2015 Fourth Quarter and Year-end Conference Call and Webcast. As a reminder, all participates are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Shah, Chief Executive Officer. Please, go ahead.
Sachin Shah: Thank you, operator. Good morning, everyone, and thank you for joining us this morning for our fourth quarter conference call. Before we begin, I would like to remind you that a copy of our news release, investor supplement and letter to shareholders can be found on our website at brookfieldrenewable.com. I’d also like to remind you that we may make forward-looking statements on this call. These statements are subject to known and unknown risks and our future results may differ materially. For more information, you're encouraged to review our regulatory filings available on SEDAR, EDGAR and our website. Our underlying operations are performing very well. Our development programs continue on pace to deliver 1,000 megawatts by the end of the decade and our portfolio remains highly contracted with a small portion of uncontracted assets having been acquired during this low price environment, but benefiting from higher capacity prices. As a result, we are pleased to announce a 7% distribution increase today. Since our inception five years ago, our installed capacity has doubled to almost 11,000 megawatts. Our development pipeline has grown to approximately 7,000 megawatts and we have maintained our hydro focus all while successfully embedding the business with meaningful upside optionality through the potential to capture rising energy and capacity prices, building out our development pipelines at premium returns, and diversifying into new markets and new technologies. During this time, we have grown our distributions by 37%, or on average 7% annually. 2016 has started out with these same themes and has the potential to be a very strong year. First, our recently announced investment in Isagen. In January, we and our institutional partners acquired 58% of the shares in Isagen, the third largest generation portfolio in Colombia with more than 3,000 megawatts of operating capacity, virtually all of it hydro and almost a year of storage capability providing the portfolio with significant operating flexibility, as well as a 3,800 megawatt development pipeline. This transaction marks a meaningful milestone in the growth and development of our business. This investment highlights our ability to leverage our deep operating expertise in hydro, our underwriting capabilities, our funding platform and our institutional relationships on a global basis. Isagen has the best-in-class utility-grade asset portfolio with significant long-term growth potential in an attractive market. Colombia has a history of 3% to 4% GDP growth, stable inflation, conservative fiscal policies and a democratic rule of law. It's deregulated power market has seen tremendous growth in the last 20 years, but it's still significantly under supplied with only 15,000 megawatts of capacity serving 50 million people. And like most emerging market economies, its currency has recently declined sharply by almost 40% in the last two years, providing an attractive backdrop to make this investment. From a broader business perspective, hydrology in late 2015 and early 2016 has significantly improved in both North America and Brazil. The majority of our facilities in North America are producing at or above long-term average and reservoirs in Brazil have doubled on a year-over-year basis as rain fall returns. All of this precipitation bodes well for our Q1 production and hopefully for 2016 in general. We're also looking forward to closing our previously announced acquisition of the 292 megawatt hydro portfolio in Pennsylvania in the coming months and integrating these assets into our portfolio. All in all, 2016 has started out well for BREP, and I look forward to updating you on our progress throughout the year. I would now like you to now turn it over to Nick for a review of our financial results.
Nick Goodman: Thank you, Sachin. 2015 was a year which highlighted the robust nature of our assets, dependability of our cash flows and the strength of our balance sheet. Generation for 2015 was 23,332 gigawatt hours versus a long term average of 25,543 gigawatt hours. Despite the below average water levels in both North America and Brazil, and the additional impact of near term currency headwinds, we produced adjusted EBITDA of $1.2 billion and funds from operations of $467 million. We funded all of our CapEx and maintenance programs as well as the 140 megawatts currently under construction in Europe and Brazil. In line with our target capital deployment, we also invested a further $650 million into new assets. Lastly, we funded our distributions and as Sachin mentioned, have announced a further distribution increase of 7%. This is consistent with our stated guidance of 5% to 9% annual distribution growth. Our balance sheet continues to be strong as we maintain a conservative capitalization profile, ample near term liquidity and multiple sources of funding ensuring we are not overly reliant on any one particular market. We had over $1.2 billion in near term liquidity at year-end, reflecting a number of initiatives undertaken in 2015 including increasing our five-year committed bank lines to over $1.5 billion, issuing CAD400 million of 10-year notes of 3.75%, issuing CAD175 million of preferred shares at 5.5%, up-financing existing hydro assets raising $150 million incremental proceeds to BREP and monetizing our 100 megawatt wind farm in California at a 25% return to shareholders and redeploying the proceeds into growth initiatives. Looking to 2016, the year has begun on a solid footing and we are seeing positive results and momentum across a number of areas. In terms of generation, hydrology and wind have both shown recent improvement and a return to more normal levels. Our reservoirs are above typical levels for this time of year which bodes well for generation. Our development teams are advancing 140 megawatts of renewable projects on scope schedule and budget. On the capital and liquidity front, we are progressing three additional up-financings that should generate $250 million of proceeds in the first half the year. We also expect to continue our capital recycling initiatives raising additional $300 million to $400 million. Finally, in the current market environment, we are seeing growth opportunities in our core markets as well as in new geographies, which we are pursuing selectively and with a view to creating meaningful additional long term value for shareholders. That concludes our formal remarks. Thank you for joining us this morning and we would be pleased to take your questions at this time. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Rupert Merer from National Bank Financial. Please, go ahead.
Rupert Merer: Thanks, good morning.
Nick Goodman: Good morning.
Rupert Merer: You mentioned you had a normalized $0.46 per unit FFO number for the quarter. Can you talk about the drivers between that number and the actual $0.32 per unit? How much of a difference is driven by FX and power prices, for example? I guess we can figure out how much was driven by the lower production.
Nick Goodman: Hi, Rupert, it's Nick here. I would say it was probably about 60% hydrology and 40% currency between the two years. And so we think the normalized way is a fair way to look at the business, especially with the way that the business has started this year with the return to long-term hydrology. And that is the way that we view this business as a long-term business with long-term assets and really the long-term average especially the predominantly hydro portfolio has a very long term period with which we can look back to when we view our hydrology. And so we felt it was a fair reflection to show the sustainability of this distribution in the short and long term and to present that number in a normalized basis.
Rupert Merer: Okay. So it doesn't sound like you saw much of an impact from lower spot prices. We did see average prices down quarter-over-quarter. Can you talk about how much of that was seasonal versus FX? And how did the spot prices trend in the quarter?
Sachin Shah: Hey, it's Sachin here. I think pricing really isn't a big driver in the business right now. We still have 90% of the portfolio under contract and the small portion of assets that we have that are merchant are not only doing better than we would have underwritten them even with energy prices being low, but in particular we're selling capacity at, in some cases double or triple the price that we would have underwritten them two or three or four years ago. So pricing really isn't the material driver. I would say the only time pricing has been unusually high to our results in additive was back in the winter of 2014 when we had very extreme cold weather throughout the northeast United States and we saw very high pricing that was obviously great for our portfolio and demonstrates the optionality that we've been trying to build, but for the last 18 months, it's really been, I would say, flat reflecting the low environment that we bought the assets in and modestly positive with capacity prices that we're able to earn with these assets.
Rupert Merer: Great. I'll get back in the queue. Thank you.
Operator: Our next question is from Ben Pham of BMO Capital Markets. Please go ahead.
Ben Pham: Thanks, good morning. I just want to go back to just that earlier comment about the normalized FFO and I'm wondering what type of pricing are you guys assuming in that normalized in the New England market or PJM?
Sachin Shah: Hi, Ben, it's Sachin. I'll let Nick add to this if he feels necessary. We have not made any pricing assumptions. All we've done is adjusted for long-term average asset prices that we've realized and keeping currencies constant year-over-year, so investors and analysts could make a fair comparison of the annual results.
Ben Pham: Okay. So you guys averaged the currency for '14? Is that what you guys did in Brazil and Canada?
Sachin Shah: Correct. We used the same average currency that was in place for '14 as we did for our '15 results.
Ben Pham: Okay. Great. And then with Isagen, I'm just wondering with the way you guys structured this deal, taking a pretty small slice initiative and then it grows over the next tranche, I'm just wondering the thought process behind how you determined what percent you wanted to put into the business, because it's a little bit smaller than some of the deals you've done in the past in particular, so I'm just wondering if there's any sort of constraints there that you guys have thought about when you've got through that?
Sachin Shah: Sure. So first I'd say, obviously, it's a very large transaction. I mean this is a 3,000 megawatt portfolio in the range of a $4 billion equity check and so obviously we are mindful of the size of the transaction. And we needed to raise capital not only from ourselves, but from our institutional partners that we have through our funds and also global partners that we would use on transactions such as this. Our target investment out of BREP, once we're through the two mandatory tender offers, we'll be in the range of 25%. And the driver for that is really what we felt comfortable that we could fund, have meaningful investment in the business and not need to access the public equity markets or not need to access new sources of capital to be able to achieve that level of investment. So we're very confident that we can get through the two mandatory tender offers. We have the financial resources to do that. We can continue to grow the business, fund our development pipelines and really run the business without a meaningful level of stress and still have a strong investment in this portfolio alongside long-term partners that we would invest in these types of transactions.
Ben Pham: Okay. And how do you think about additional stuff that comes up? I know there's a pretty big prospective portfolio that's probably more four to five-year time frame in terms of additional dollars, is that going to be consistent with your initial percentages?
Sachin Shah: I'm sorry, Ben, I'm not sure what you're talking about the additional portfolio that comes along. Are you talking about the mandatory tender offers?
Ben Pham: No, I'm just thinking about just prospective development just kind of three to four years out.
Sachin Shah: Oh, I see, the prospective development, yes. So if you look at the 1,000 megawatts that we're trying to build by the end of the decade, that really gets funded with internally generated cash. That's about 200 megawatts a year. We can generally fund that pretty comfortably with internally generated cash that we weren't otherwise using for M&A and we've been doing that for the last four or five years with all of our development. So, in the development that's there in front of us, we're very comfortable. This business in Colombia does have a very large development pipeline, 3,800 megawatts. It's too early for us to really commit to how much of that we're going to build out in the near term. I think for us what it represents is a very, very good long-term option to continue to grow in Colombia. One of my prepared remarks mentioned that Colombia with 50 million people has 15,000 megawatts of installed capacity. You contrast that to Canada with 30 million people where you have 100,000 megawatts of capacity. So we believe that Colombia has significant future growth potential and what we're able to do here was secure a pipeline that will allow us to participate in that growth, but none of that's committed today. So we can turn that on or turn that off based on where we see the best relative value across our global markets.
Ben Pham: Okay. Thanks, Sachin.
Sachin Shah: No problem.
Operator: Our next question is from Sean Steuart of TD Securities. Please, go ahead.
Sean Steuart: Thanks. Good morning, everyone. A couple questions. On Isagen, how fast are the below market contracts rolling off and can you put any numbers around potential upside on pricing there?
Sachin Shah: Sure. So first of all, the Company today has, I’d say around 88% to 90% of its portfolio contracted. Probably a little bit higher than we would like longer term just given that it's a hydro driven market and when there's lower water, you don't want to get caught short. Roughly two-thirds of that, those contracts are actually priced in the $30 to $40 range. So very low and lower than where this market has generally traded. It's been at the low end generally a $50 market. And it's in that range today. It's seen some volatility but it's generally in that range. The term of those contracts is two years roughly. Some are a little bit longer, some are a little bit shorter and so we should start to see meaningful uplift in cash flows in about two years when those contracts roll off. And our underwriting and our view of the business is this is a business that even in a very, very low price environment in that $50 range without building out the development pipeline, once these contracts roll off, we should be earning a 10% cash-on-cash yield without having to rely on material price increases or growth, which is great for us. It positions us really well. And it provides significant cash flow to BREP shareholders.
Sean Steuart: Okay, thanks for that, Sachin. And another question, you referenced all the capital recycling and up-financing initiatives you’ve underway I guess to manage your liquidity. Can you talk more broadly about what the objectives are or comfort levels you have with respect to leverage at the LP level?
Sachin Shah: Sure. So I'll start with just -- our debt to cap today is 40% and our coverage from a cash flow perspective on interest costs would be in the two-and-a-half times range and debt to EBITDA would be just over five times. And so on all bases, we're, obviously within a very comfortable triple B investment grade range. And the prospects of the business, we've just gone through five years of very low pricing. 2015 was a weak hydrology year and we've been able to fund the business very comfortably, all of our CapEx and maintenance programs are being funded, our development program is being funded and if you look back at the last five years, we've done one equity issue out of this business. It really speaks to our financial flexibility and it speaks to the quality of our balance sheet. We're able to fund this business through capital recycling, through up-financing initiatives and through the cash flow that just comes out of these assets because they have no fuel cost and they are high margin assets without needing to tap equity markets and without layering on meaningful amounts of debt. And so I feel quite comfortable that we have that same level of visibility in the future. If anything, we have higher capacity prices and the prospect of rising energy prices and so we feel pretty good that we can fund all of our growth, our development, and keep growing this business without needing to tap what's obviously today a very volatile and weak capital market.
Sean Steuart: Okay. That's all I had. Thanks, Sachin.
Operator: The next question is from Nelson Ng, RBC Capital Markets. Please, go ahead.
Nelson Ng: Great, thanks. Just following up on Sean's comments in terms of the recycling capital, I think you mention in the press release or your letter that you expect to raise about $300 million to $400 million through capital recycling in 2016. Could you just comment about the technology and geography of the assets you expect to divest?
Sachin Shah: Sure. So, you know, we continue to think there is strong appetite for contracted renewable assets today, in particular wind assets. Many of the pension plans infrastructure asset managers and many global investors today like contracted cash flows in what continues to be a low rate environment. And in particular wind has been a very attractive asset class. You saw us sell our 100 megawatt corn facility this summer and we're looking at a number of opportunities to sell additional wind farms both in the US but I’d also say some of our early stage acquisitions in Europe that we made in Ireland during a period where the Irish government was repaying debt and had a different risk profile attached to it versus what we see today would be candidates for us to sell. And so we'll evaluate which ones opportunistically can realize the best value but I would say as a first go, those would be some of the assets that we would look to sell and recycle that capital into higher yielding initiatives.
Nelson Ng: Okay. So you're not looking to sell any non-core assets like gas or biomass, right?
Sachin Shah: No, we obviously could do that but they're not large enough that it would really make a dent in our capital raising initiatives. So I’d say realistically if we're looking for meaningful proceeds to continue to fund different objectives we have, the wind farms are the best candidates.
Nelson Ng: Okay. Got it. A quick question on the distributions. So with the 7% distribution increase, do you have a rough expectation of what the payout ratio would be in 2016? I'm just thinking, like, would it be closer to the 80% range if the currency or the FX rates remain unchanged?
Sachin Shah: Yeah, it would be a little better than that. I would say high 70s is generally, I think, we mentioned this last year as well. I think while prices are low, while they're buying merchant assets in this low price environment and while we have a meaningful development pipeline, we’re pretty comfortable staying at that elevated rate and so we're going to be in the high 70s this year, all else being equal. Obviously, it's dependent on generation levels and currencies but we're pretty comfortable at this level going into 2016.
Nelson Ng: Okay. And then just one last question, in terms of the percentage of generation contracted, it looks like it drops off in 2020 down to 71% from I think it's about 82%, 2019. Is there a large facility or group of facilities that have contract expiration in either 2019 or early 2020?
Sachin Shah: Yes. It's our [indiscernible] facility in Quebec. It's one facility. It's about one-and-a-half terawatt hours that drops off of its contract. It's actually one of the assets that has a contract with BAM and that contract today in US dollars would be all in, in the low $50 range US. Canadian it would be, it's a Canadian contract, it could be closer to CAD70. So we're pretty comfortable that that asset which would normally deliver power into New England which is one of the higher value markets could achieve that pricing pretty comfortable even in a merchant context as it would sell energy and capacity into New England through lines that we have access to.
Nelson Ng: I see. So I guess from 2019 onward it would be merchant and there's probably no intention of BAM looking to enter into a long-term contract, right?
Sachin Shah: No intention at this point on that certainly and I say more from an earnings quality and earnings profile perspective, we don't expect any meaningful change to our revenue profile or our FFO profile as a result of that contract coming off. I mean obviously our hope would be that by that time prices have continued to rise and energy and capacity prices are higher and we actually see some uplift from that but the good news is today where we are; it would be flat to our business profile.
Operator: The next question is from Andrew Kuske of Credit Suisse. Please, go ahead.
Andrew Kuske: Thank you, good morning. I guess the question is for Sachin and it's just what you're seeing around the market on public market values versus private market values and how that really translates into your business model where you've got clear public market capital from BREP and then complimenting that or supplementing that with the private capital through the funds business.
Sachin Shah: Yeah, I guess Andrew there's obviously a meaningful disconnect today between public market valuations and companies trading at a healthy discount to their intrinsic value. And in particular where you see this is when you see private market transactions trading anywhere from in our space, 20% to 30%, in some cases more than that, higher than where their public valuations would be. And so, in there lies both opportunity for us but also I’d say a real advantage relative to many of our competitors. We’re one of the few organizations in the power space that has access to ample private equity capital or private institutional capital as you see with Isagen. You look at the last two years, when we were looking at this transaction and how many bidders were competing alongside this and all of them fell away. And I’d say it's not a coincidence that they fell away in light of what's going on in global markets with oil, with Chinese demand for commodities and with capital markets in North America all being extremely weak. You saw a number of competitors really have other issues to deal with and maybe not have the access to capital. And for us that's a tremendous advantage. It allows us to look at things like Isagen and I think it will allow us to look at some pretty compelling opportunities in the next 24 to 36 months.
Andrew Kuske: And maybe just an extension of that and you mentioned Isagen, how big and I guess how comfortable would you be with LATAM in the portfolio at this point in time on a percentage basis?
Sachin Shah: Yeah, I would say, we've generally said that Brazil or kind of in that comfortable in that 25% of the portfolio range. I think Brazil and Colombia are quite different in that regard. Colombia has a strong history of low inflation and strong prudent inflation management. And, I would say although it is a Latin America country, it's just one that has had a lower risk profile and obviously much more stable GDP growth. That being said we're comfortable at around 30% of our portfolio being in that overall LATAM bucket. And I think what we would say to investors and what we’ve always said is those percentages could ebb and flow a little bit as we're allocating capital around the world but that's more of a long-term target.
Andrew Kuske: And then, when you think about just how BREP has grown and obviously a lot more assets, a lot more regions, what's your appetite for a large portfolio, let's just say it's a hypothetically a 4,000 meg portfolio that had 500 or 1,000 megs of non-hydro, non-renewable, say it's fossil generation, did you feel more comfortable with that now than you were five years ago or ten years ago?
Sachin Shah: Look, I think one thing we've always tried to maintain is our hydro focus. We do recognize that hydro is the premier asset class in the supply stack whether you're taking fossil fuel-based technologies or renewable technologies, and we're trying to build a portfolio for investors that if you look back 20 years from now, will be carbon-free and have significant exposure to what is an evolving trend in the world, which is global warming and people wanting to allocate their capital to places where the investment decisions can benefit from those technologies that are offsetting that trend. That being said, we are an opportunistic organization and we would certainly look at transactions that had a very small component of thermal in them. Or thermal that we felt that we could work out and ultimately get off of our balance sheet in due course with a clear path to that. The portfolio that you're referencing which is in Latin America, I'm not sure that that would meet that criteria but there's obviously ways for us to participate in that overall portfolio by selectively picking certain asset classes and targeting those and even bringing in partners who may have a different investment profile than we do. So I wouldn't say that it's a binary, we would look at it. I just think the way we would look at it would favor our preference for the renewable assets and assets that in particular are hydro.
Operator: Our next question is from Steven Paget of FirstEnergy Capital. Please go ahead.
Steven Paget: Sachin, you indicated in your letter that you expect BREP to get 25% of Isagen. Have your mandatory tender has been successful?
Sachin Shah: So the mandatory tender offers just in case folks are unaware of the process. So we bought the 58% interest from the government and then for the remaining 42%, we are obligated to make two mandatory tender offers roughly within the first six months of the initial acquisition. So we need to do that. We're actually, we need to get certain regulatory approvals to be able to launch that, and once we do, assuming we pick up 100% of the shares, then we will be in that range of 25%. We haven't yet launched the first mandatory tender offer, Steven, but we would expect to do that in the first quarter.
Operator: The next question is from Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: In your review of operations you note that generation in Brazil remained below LTA but your summary table states otherwise. Does that have to do with the agreement you reached with the government?
Nick Goodman: Yes, Frederick, that's correct. So in the quarter, it would appear to be higher than LTA and that's because it's a nine-month catch-up for the year. So if you look at the full-year number that gives a fairer representation. And maybe just to give a quick summary, what basically happened in Brazil with the low hydrology that they experienced recently, whilst we had the generation to generate this year at times the government took a preferred option of filling reservoirs and in the fourth quarter they effectively provided compensation compensating us for the generation that we effectively had available for generation but they curtailed to allow the reservoirs to refill. So if you look at on full-year basis that's more reflective. In Q4, if you back out that compensation, the underlying generation in Brazil has continued to improve in line with what Sachin said. And so, underlying generation would have been about 92% of LTA for the quarter and that's probably the best way to look at it.
Frederic Bastien: Was that compensation done industry wide or just to BREP?
Nick Goodman: Industry wide.
Operator: The next question is from Jeremy Rosenfield of Industrial Alliance Securities. Please go ahead.
Jeremy Rosenfield: Just following on Fred's question there. I was just wondering if you can break out a dollar value or a Brazilian real value for the competition that was received.
Nick Goodman: Sure. It was $25 million US dollars.
Jeremy Rosenfield: And that was fully received in the quarter?
Nick Goodman: Yes.
Jeremy Rosenfield: Is there any additional amounts that you're expecting you’re sort of booking future periods or that's the entirety?
Nick Goodman: No, the settlement was reached in the fourth quarter. And going forward, we have been provided assurances as to what generation will be in the short term.
Jeremy Rosenfield: Just coming back to the line of questioning on Isagen for a second, and I want to make sure that I understand perfectly what Sachin was saying. The 25% ownership stake is dependent fully on a 100% ownership of the entire entity. So that's to say that BREP would not own 25% for example, if there are some still minority shareholders who did not tender?
Sachin Shah: Correct and this is a public company widely held. I think there is somewhere in the range of 30,000 shareholders in the Company. Look, realistically there's probably going to be some small shareholders who don't even know they own the stock and don't tender in. I think our expectation is the larger shareholders will likely sell only because the reserve price was higher than where the stock is traded in the Colombian market for the past two to three years. And obviously, as we grow our position, a number of institutions may find it challenging to be holding a small ill-liquid security. So our expectation is just that there will be selling on this basis alone. But, our target is to get to as close to 100% as possible, but I don't think we'll actually get to 100%.
Jeremy Rosenfield: Is there a force-out provision at some point or that doesn't exist?
Sachin Shah: No, under Colombian security laws, there's no squeeze-out provisions.
Jeremy Rosenfield: Okay. Perfect. The only other question maybe just a small clean-up. In terms of performance in the quarter, were there any assets that were not 100% owned by BREP that may have had stand out performance that might have created sort of higher non-controlling interests in the quarter than maybe relative to average, let's say?
Sachin Shah: Yes. I think what you'll see there is because some of the compensation that we received in Brazil also accrues to some of our minority partners in our private funds, you're seeing the offset of that in minority interest, and that's why it looks higher than what it would on a comparable basis. We can follow up with you and give you the breakout on that.
Jeremy Rosenfield: So then just going back to I guess the number that Nick provided previously, the $25 million, that was the $25 million to BREP?
Sachin Shah: No, that's the revenue number so that would be the consolidated number. What I can do, after the call I'll follow up and I'll give you the split upon a consolidated and proportionate number.
Jeremy Rosenfield: Perfect. That would be great. Thanks, that's it.
Operator: [Operator Instructions] We have a follow-up question from Nelson Ng of RBC Capital Markets. Please, go ahead.
Nelson Ng: Great, thanks. I just had a quick question about what your expectations are for growth CapEx in 2016?
Sachin Shah: Hey, Nelson. So from a growth CapEx perspective, I think we've been fairly consistent saying we're targeting investment in the $500 million to $600 million range per year. And if we can do that, achieve our return hurdles, that generally leads to us being able to double the size of the business. And it also -- it's also a number that we feel pretty manageable that we can achieve with existing resources. So that would not have changed. And in fact, if we get through these next two mandatory tender offers, we would be putting in additional $400 million into Isagen alone. So I think what you'll see is that a lot of our growth target this year will be met just through that. And we will obviously be continuing to look at other opportunities, but I suspect much of our investment will be through Isagen this year.
Nelson Ng: Okay. So it's $500 million to $600 million plus Isagen, and the $500 million to $600 million is in mainly in Europe and Brazil, right?
Sachin Shah: No, what we say is $500 million to $600 million for the business annually is our growth CapEx target and what I'm saying is if we follow on with the two mandatory tender offers, get 100% of the shares and invest an additional $400 million into that, you can see that $400 million of the $600 million is already going into Isagen. So we've got pretty good visibility that this year, just with Isagen alone, we're going to hit our investment target.
Nelson Ng: I see. Okay. And then just one last question. In terms of just of El Nino, could you just comment on how that's impacted generation in Brazil or in North America, and I guess what you're kind of near-term expectations are in the Q1, Q2?
Sachin Shah: Look, I think we're in the hydro business and so volatility is something that we've lived with for 30 years. And it's no different. For two years, we had a deep drought in Brazil and all of a sudden it's raining a lot, and reservoirs have doubled in a year. So, yes, I think what we get comfortable with is these are very long-term assets. They have 100 years of future generation potential in them. And as long as you run the business with significant cash cushion, a conservative balance sheet, and you can find these assets through unique transactions, they are absolutely the most scarce generation assets. You can't rebuild a river, but the trade-off is you have to live with some near-term volatility and whether you call it El Nino or just weather, that's what it is. And so, nothing about that is surprising to us, and fortunately December and January have been very strong from a precipitation perspective and our reservoirs are above average today.
Nelson Ng: Okay. Great. Thanks, Sachin.
Sachin Shah: No problem.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Mr. Sachin Shah. Please, go ahead. Sachin Shah Well, thank you everyone for joining us this morning on our fourth quarter conference call. We look forward to providing you an update next quarter on how we're progressing during 2016. Take care. Bye-bye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.